Operator: Ladies and gentlemen, thank you for standing by, and welcome to the Second Quarter 2018 Earnings Call. [Operator Instructions] Also, today's conference call is being recorded.
 I would now like to turn the conference over to your host, Chief Financial Officer, Ed Pierce. Please go ahead. 
Edward Pierce: Thank you, operator. Good afternoon, and thank you for joining us today. With me today are Peter Dameris, our CEO; Ted Hanson, our President; Rand Blazer, President of Apex Systems; and George Wilson, President of ECS.
 Before we get started, I'd like to remind everyone that our presentation contains forward-looking statements. Although we believe these statements are reasonable, they are subject to risks and uncertainties, and our actual results could differ materially from those statements. Certain of these risks and uncertainties are described in today's press release and in our SEC filings. We do not assume the obligation to update statements made on this call.
 For your convenience, our prepared remarks and supplemental materials can be found in the Investor Relations section of our website.
 Please note, on this call, we will be referencing certain non-GAAP measures, such as adjusted EBITDA and adjusted net income. These non-GAAP measures are intended to supplement the comparable GAAP measures. And the reconciliations between the GAAP and the non-GAAP measures can be found in today's press release.
 I will now turn the call over to Peter Dameris. Peter? 
Peter Dameris: Thank you, Ed. Welcome to the ASGN 2018 Second Quarter Earnings Conference Call. During our call today, I will comment on the markets we serve and our financial highlights. Ted, Rand and George will then discuss the performance of our operating segments in greater detail before turning the call over to Ed for a detailed review of our second quarter results and our estimates for the third quarter of 2018.
 Now on to the second quarter results. Across all our guided metrics, our results for the quarter were above our previously announced financial estimates. Revenues for the quarter were $878.5 million, up 34.5% year-over-year on a reported basis or 10.1% on a pro forma basis. Our growth rate accelerated during the second quarter and reflected, among other things, the deepening of many large customer relationships established over the last 5 years, a healthy U.S. economy and federal marketplace and a continuing increase in the rate of adoption of our delivery model.
 Our Q2 results marked the 18th consecutive quarter that our company grew above the IT staffing industry projected annual growth rate. Our size and service offerings allows us to grow faster than published IT service industry growth rates, and we believe that we are well positioned to generate solid above-market revenue growth in the future. During the quarter, we saw strong double-digit revenue growth at Apex and Creative Circle and a return to year-over-year growth at Oxford -- in our Oxford Segment. Our European Life Science business saw strong performance. And our federal IT services and solutions business grew revenues almost 2x its peer group. Customer demand was strong across our federal, local, mid-market and large national accounts.
 Adjusted EBITDA was up 32.4% year-over-year to $106.6 million and cash generation continues to be at or above our expectations. Free cash flow, a non-GAAP measure, was $68.4 million, up from $33.4 million in the prior year period. During the quarter, we reduced our leverage ratio to 3.2x at the end of the second quarter. We expect that we will be able to further pay down approximately $55 million of our debt and reduce our leverage ratio to approximately 3x trailing 12-month adjusted EBITDA by the end of the third quarter.
 With respect to recent production at our Apex and Oxford segments, our weekly assignment revenues, which excludes conversion, billable expenses and direct placement revenues, averaged $51.6 million for the last 2 weeks, up 5.1% over the same period of 2017. Both measurement periods include the impact of the 4th of July holiday period, but you should take note that the holiday fell on different days of the week, which influences flow of revenue. As for ECS, we estimate revenues will range between $157 million and $160 million for the third quarter.
 Our IT business continues to see high demand from its customers, driven in part by greater adoption of staff augmentation as a viable alternative to outsourcing, offshoring and consulting. We believe that we are well positioned to continue to service our IT customers' needs as technology rapidly evolves and is adopted.
 We also continue to see the ongoing debate regarding the on-demand workforce or gig economy is accelerating the usage of contract labor. Fractionalization of human capital by using the staffing industry's services is the only way to avoid the risk of misclassification of employees as independent contractors. Our customers have and are realizing this, creating attractive secular growth opportunities for the entire industry.
 Our federal IT services and solutions business continues to see new long-term contract awards, robust spending against existing contracts and the forward positive benefits of increased funding and visibility of defense, intelligence and federal civilian agency budgets, particularly in the areas of artificial intelligence and machine learning. During the quarter, ECS secured an additional $162.4 million in new awards.
 As a reminder, we announced the closing of the ECS Federal acquisition on April 2. ECS delivers cybersecurity, cloud, DevOps, IT modernization and advanced science and engineering solutions to the U.S. federal government. ECS' service offerings nearly doubles our addressable end market to $279 billion as we enter the $129 billion government services space and ECS' highly specialized skill offerings strengthens our position as a premier human capital provider and complements our highly technical IT offerings. ECS' domain expertise and firsthand experience will position our combined company well to support commercial engagements in cybersecurity, artificial intelligence and biometrics.
 I would like to now turn the call over to our President, Ted Hanson, who will review the operations of the segments and then over to Rand and George. Ted? 
Theodore Hanson: Thanks, Peter. The Oxford segment, which is comprised of Oxford Core, CyberCoders, our permanent placement business, and Life Sciences Europe. For the second quarter of 2018, Oxford segment revenues of $155.8 million were up 3.3% year-over-year, which is an acceleration from the 1.8% year-over-year growth rate in the first quarter. Compared to the prior quarter, revenues increased 6.3% for the segment on a sequential basis.
 Oxford Core revenues, which account for approximately 73.6% of the segment revenues, were up approximately 1.5% year-over-year, 4.7% sequentially and exceeded our initial expectations. CyberCoders, our permanent placement service offering, which accounts for 96% of the segment's permanent placement revenues, had 10.8% growth year-over-year and 16.9% sequential growth. CyberCoders entered the second quarter with momentum and it remained throughout the quarter with revenues meeting our initial expectations. Our Life Science offerings in Europe were up year-over-year and sequentially for the second quarter on a constant-currency basis. The results were stronger than our initial expectations. The demand for our Life Science skill sets in the geographic markets we serve remains very solid.
 Gross margin for the segment was 42%, up 40 basis points year-over-year due to the business mix within the segment.
 Based on the performance I have just outlined and better expense management and productivity within the Oxford Core unit specifically, the segment's adjusted EBITDA results exceeded our expectations, increasing year-over-year by 7.7%. There's been much hard work focused on improving lost EBITDA margin at Oxford Core, and the latest quarter's results continue to reflect that.
 I will now turn the call over to Rand Blazer. Rand? 
Randolph Blazer: Great, Ted. Thank you. The Apex segment, which consists, of course, of Apex Systems, Apex Life Sciences and Creative Circle business units, again reported solid results for the quarter. Segment revenues were $567.6 million and were up 12.9% year-over-year, an acceleration from our first quarter year-over-year growth rate of 11.6%.
 Apex Systems, which accounts for 75.1% of the segment's revenues, grew its revenues year-over-year by 13.4% in the second quarter. Also happy to report, our Creative Circle unit grew its revenues 10.3%, and our Life Sciences unit, including StratAcuity, which accounts for 7.8% of our segments' revenues, grew its revenues 15% on an as-reported basis.
 Gross margin for the segment was in line with the prior year period, reflecting stable pricing in our end markets. Our segment's EBITDA also grew double digits as we saw efficient conversion of gross profit to EBITDA, which was mainly driven by continued strong revenue growth and productivity of our sales, delivery and infrastructure teams.
 As we usually do on these calls, we give you some insights on some factors driving Apex Systems' performance, which is our principal IT services business unit. Apex Systems revenue growth was propelled by a number of factors including: continued growth in our accounts in all 7 industry verticals we service, with double-digit revenue growth in 4 of the 7 industry verticals, including financial services, health care, consumer industrial and technology industry accounts.
 Of the remaining 3 industry verticals, aerospace/defense, business services, they both grew high single digits; and the 7th industry, telecommunication accounts, exhibited positive mid-single-digit growth year-over-year. Growth was also achieved in both our top accounts and retail or branch-centric accounts with top accounts growing double digits and outpacing our overall revenue growth. Retail accounts also posted mid-single digit revenue growth rates.
 Our bookings for consulting-type work continue to remain strong in the quarter and, and it has been reported in previous quarters, continue to significantly exceed our expectations for growth.
 And finally, as previously mentioned, our focus on field and back-office productivity and the tools they use also continue to improve during the quarter which supported our EBITDA performance.
 Creative Circle's revenue and profitability growth in the quarter exceeded our initial expectations as I implied. The end market for creative marketing remains positive, and we continue to see more growth in corporate business as our accounts are shifting more work internally versus using ad agencies for support. This trend is a positive for the use of our services by our customer base. 
 Our Life Sciences business revenue growth was also double digits on an as-reported basis, and as I suggested, exceeded our expectations for both revenue growth and EBITDA margins.
 Overall, the Apex segment had yet another very solid quarter and continues to significantly outpace the growth rate of the overall industry.
 George, turn it over to you. 
George Wilson: Thanks, Rand. As this is my first earnings call with ASGN, I would like to take a moment to say that I am pleased to be speaking with you today and look forward to highlighting ECS' solid performance in the second quarter, both from a revenue and a profitability standpoint.
 ECS reported revenues of $155.1 million, an increase of 7.1% year-over-year and 4.1% sequentially on a pro forma basis. This growth was ahead of the industry average for peer companies operating in the federal IT services space. And over 80% of this work was performed as the prime contractor.
 Demand for IT services and solutions has increased over the prior year. And under the current administration, federal spending is expected to continue to increase at least into the near term, particularly in the areas of cybersecurity and cloud solutions, 2 key business areas for ECS. The recent budget deal and appropriations bill have also driven increased funding for IT modernization investments that ECS is well positioned to support through current customer knowledge and contract vehicles. We are currently experiencing a high level of proposal activity, which we believe is due, in part, to a compressed window of the traditional federal buying season and pent-up demand following several years of continuing resolutions and delayed passage of the federal budget.
 At the end of the second quarter, ECS had $1.4 billion in total contract backlog, resulting in a healthy coverage of 2.3x our trailing 12-month revenues. Our contract backlog provides good visibility into future revenues and includes the value of negotiated contracts that have been awarded to ECS, less revenues that have been previously recognized. Our backlog does not include any estimate of future potential task orders that might be awarded under IDIQ or GSA schedule-type contracts.
 ECS continues to strengthen our technical skills and business partnerships with commercial providers in cloud, cyber, risk management, artificial intelligence and machine learning. ECS was recently awarded the Machine Learning Competency status from Amazon Web Services and continues to deliver critical solutions to customers in defense and intelligence communities.
 From a profit standpoint, we saw nice year-over-year growth attributed to higher top line revenue, reduced indirect expenses and leveraging of our fixed costs over a larger base.
 I will now turn the call over to Ed Pierce to discuss ASGN's overall financial results. Ed? 
Edward Pierce: Thanks, George. Our consolidated results for the second quarter include the results of ECS for the full quarter. On a reported basis, our revenues were up 34.5% year-over-year and 10.1% on a pro forma basis, which assumes the acquisition of ECS occurred at the beginning of 2017. Revenues from ECS totaled $155.1 million and accounted for 17.7% of consolidated revenues.
 Differences in billable days and changes in foreign exchange rates had an insignificant effect on our year-over-year growth rate. Revenues for the quarter included $5.9 million in revenues from StratAcuity, which was acquired in August of last year. Gross margin for the quarter was 30%, which was at the high end of our previously announced financial estimates.
 SG&A expenses were $179.6 million or 20.4% of revenues, which included $3.5 million of onetime expenses related to the ECS acquisition that were not included in our previously announced financial estimates.
 Interest expense was $20.6 million, up [ from ] $6.1 million from the second quarter of 2017. Interest expense was comprised of $13.3 million of interest on the credit facility, onetime expenses of $5.8 million related to the amendment of our credit facility to fund the acquisition of ECS and $1.5 million of amortization of deferred loan costs.
 Our effective tax rate was 25.5%, which was lower than our previously announced estimate, primarily related to excess tax benefits on stock-based compensation, which we do not include in our financial estimates.
 Net income was $33.6 million or $0.63 per diluted share, up from $33.1 million or $0.62 per diluted share in the second quarter last year. Adjusted net income, a non-GAAP measure, which includes, among other things, amortization of intangible assets and acquisition, integration and strategic planning expenses and credit facility amendment expenses, was $58.7 million or $1.11 per share, up from $41.5 million or $0.78 per share in the second quarter of 2017. As we have previously stated, ECS was accretive to our adjusted net income and related per share amounts.
 Adjusted EBITDA for the quarter was $106.6 million. And reconciliations of net income to adjusted net income and adjusted EBITDA, both non-GAAP measures, were included in today's press release. As Peter mentioned, cash flows from operating activities were $76.7 million. And free cash flow was $68.4 million or 7.8% of revenues. During the quarter, we repaid $133 million of our long-term debt.
 Now moving on to our overall financial estimates for the third quarter of 2018. We're estimating revenues of $888 million to $898 million, net income of $37.9 million to $41.6 million or $0.71 to $0.78 per diluted share, adjusted net income of $56.2 million to $59.8 million or $1.06 to $1.13 per diluted share and adjusted EBITDA of $103 million to $108 million. Adjusted net income does not include the cash tax savings related to amortization, deduction of goodwill and trademarks. Our revenue estimates for the quarter imply year-over-year growth of 8.3% to 9.5%, which is more than 2x higher than the estimated growth rate of the IT staffing industry for 2018.
 I'll now turn the call back over to Peter for some closing remarks. Peter? 
Peter Dameris: Thank you, Ed. We continue to believe our scale, size and breadth of services has us well positioned to take advantage of what we believe will be historic secular growth for the service industry. Undoubtedly, the world of work is changing. The accelerating digital transformation, along with favorable labor and immigration legislation and an improving U.S. government market are all market forces that will help propel ASGN into the future. While the entire ASGN team is very proud of our performance, we remain focused on continuing to profitably grow our business and increase our rate of growth. We would like to once again thank and acknowledge and congratulate our many loyal, dedicated and talented employees whose efforts have enabled ASGN to progress to where it is today.
 Thank you, again, for your time. I would like to now open up the call to participants for questions. Operator? 
Operator: [Operator Instructions] And we'll go to the first question in queue of the line of Tobey Sommer with SunTrust. 
Kwan Hong Kim: This is Kwan Kim on for Tobey. First off, could you give us an update on the status of the new large health care record systems contract with the Department of Defense in which Leidos is the prime contractor? And is that ramping up on schedule as expected? 
Peter Dameris: Right. So that is a contract that resides at our Apex group, and I'll let Rand respond to it. 
Randolph Blazer: Okay. Well, as you know, the DoD side of the large contract is now coming out of its initial pilot or initial operational capability. Therefore, it's been a little bit of a slow process over the last, say, 6 months. Once they clear through the milestone of initial operational capability, which they expect to do, I think, very soon -- you can probably hear that better from Leidos -- then we'll go into fuller deployment in the operational DoD marketplace. In the meantime, the VA contract has been awarded, as you know, to Cerner. They have done contracts with the key players that are similar on the DoD contract, and the VA contract. And that work should begin at some early stages, I think, once the initial operational capability of the DoD work is passed and completed. 
Kwan Hong Kim: That's helpful. And on ECS, what was the book-to-bill ratio for the quarter? 
Peter Dameris: We don't disclose that. The metrics that we've elected and we'll refine them if they're not sufficient are listed in the supplemental financial information that's contained in the press release. 
Operator: Next, we'll go to the line of Edward Caso with Wells Fargo. 
Edward Caso: Wondering if you are -- part of the ECS theory was that the old On Assignment groups would be able to supply staff to completely fill the open reqs at ECS. Has some of that happened? 
Peter Dameris: Yes. So we're taking it slow because, as you know, we're in a supply-demand constrained environment where we all have more work than we can say grace over, Ed. But with that said, we have tested it in a controlled environment successfully on a couple of projects for ECS in the St. Louis area and it's gone successfully. 
Edward Caso: Given that September is the big bid period here, are there any implications for margins for both ECS and therefore, overall ASGN in the September quarter? 
Peter Dameris: I'll speak to the commercial piece, no. And for ECS, George, do you want to address that, steady as we go? 
George Wilson: Ed, are you saying what we're looking at as far as new contracts or submitted proposals, is that what you're asking? 
Edward Caso: Usually, there's a spike in B&P dollars in the September quarter. Just wondering if that was the case here. You said you were active in bidding. 
George Wilson: Yes. Okay. So yes, we're just very active in bidding. I wouldn't say we're having a spike in cost, but we certainly are working very hard at getting a lot of proposals in. 
Edward Caso: Okay. Last question. There was some data out recently talking about the rejection rates dramatically increasing for Hs and L visas. Are you hearing clients express that as a challenge for them and therefore, coming to you to get work because they're not able to get people through the -- either directly through an H or indirectly through their offshore providers? 
Peter Dameris: Right. So Ed, we've been speaking about this for over 2 years and have published some white papers and actually engaged with a couple of other industry stalwarts, a lobbying firm to make sure that what's being proposed on the Hill is the right thing for our customers and for domestic workers. And as I have said on previous calls, even before legislation is passed, this administration's focus on making sure that the existing laws are appropriately implemented because there was widespread abuse on prevailing wage, advertising prevailing wage, meeting the requirements to get an H-1B visa or an amendment. Just being stricter on that has really reduced the use of foreign labor because you have no guarantee as a employer if the visa is going to be issued. The note that you released that quoted some data about rejections and denials just supports what we've been saying for the last couple of years that sophisticated users of human capital realize that, that wasn't going to be a viable source of reliable, immediate talent. And they moved away from that deployment model and more towards us over the last couple of years. So what was released is just further evidence of what we've been seeing and saying over the last couple of years. 
Operator: And next, we'll go to the line of Jeff Silber with BMO Capital Markets. 
Jeffrey Silber: Sounds like you had a strong quarter all around. I'm just curious from your perspective what really outperformed your expectations in the quarter. Any specific areas you could call out would be great. 
Peter Dameris: I'll go first and then I'll let Ted follow. It's easy just to look at top line percentage growth numbers. But when you look at the number that the Apex division put up against the largest base of revenue and you look at their second quarter '17 growth rate, it's impressive that they were able to actually accelerate their growth rate off of a very big core base of business. The second would be that Creative regained double-digit growth and that ECS grew 2x their peer group. Ted, complement those comments, please. 
Theodore Hanson: The only thing I would add to that is, Oxford certainly had a great sequential quarter. The year-over-year growth is not quite where we want it, but it had kind of mid- to high single growth from first quarter to second, which is a really good move in any one quarter to another. And then lastly, CyberCoders really had a blowout quarter on the top line, which obviously is a big supporter of the gross margin. So I'd say division by division, those would be the highlights, Jeff. 
Jeffrey Silber: Okay. Great. That's really helpful. And I'm just curious from your own internal hiring perspective given that you've had accelerating growth, are you hiring ahead of this, expecting this to continue? Can you just talk about how those plans are going? 
Theodore Hanson: Jeff, I don't think -- -- we've never been in the practice of hiring ahead of the curve, if you will, and then telling you it will come. I mean, we've been hiring at the pace that the business is growing and really focused on what the market opportunity is and making sure that we're matching our headcount to those opportunities. And that's the discipline that we follow today and we'll continue to follow in the future. 
Jeffrey Silber: And given that, given what's going on in the labor markets today, I know it's been tough for a while, are you finding it's getting tougher to find people? 
Theodore Hanson: On our temporary workforce side or internally? 
Jeffrey Silber: I guess internally and if you could talk about the temp side as well that would be great. 
Theodore Hanson: Well, look, internally, it's very competitive. I mean, I think that the people that we're looking for we're able to find right now. And I don't think there's been a change. But certainly as it relates to -- there's more competition for those resources than there's ever been, but we've been able to make that work. On our consultant and our technologist and our other billable temps, if you will, I mean, we've been living in a sub 2% or 3% unemployment area in the skill sets that we serve for a long time. And it's still tight, maybe even an inch tighter, but we found a way to work through that. And we think we can continue to do that. 
Peter Dameris: So Jeff, I would just add that we're really benefiting from our size and our performance. I mean, when you grow at the rate that we are, that means there's a lot more commission paid. So people -- we spend a lot of time making sure people understand that employees investing their talents with us versus someone else. That there's real benefits to this platform that we've built. And that they're going to generate more money and have more resources and tools to generate their business and get commissions off of with us versus some small business that throws them an opportunity that looks on paper good, but actually in reality is not as good as what they currently have. So retention and attraction has been very good internally for us. 
Operator: Next, we go to the line of Tim McHugh with William Blair & Company. 
Timothy McHugh: First, I guess, absolutely great quarter. I guess I want to ask a little bit about some of the indicators or guidance for the third quarter. Just ECS, I guess, I think if I look at the numbers you gave at the Investor Day, the guidance you're talking about for third quarter is closer to 4% growth. And so any color there? And then you also gave kind of the last 2 weeks growth, I know it's clouded by early July and the holidays, but that being a slower growth rate, I guess, for the temp side. 
Peter Dameris: Yes. So let me go first and then, George, you add color, please. As it relates to the 2-week data point we gave you, we were just -- unfortunately, Tim, we didn't have a better clean metric because the 4th of July fell on it. And it fell in the middle of the week. So it just kind of skews things. But what you're hearing from us is, we have not seen a deceleration. We exited the quarter with great momentum.
 As it relates to ECS, I'll let George respond qualitatively, but we try to help our investors and analysts by giving them a range of revenue for the full year of $620 million to $640 million, with $630 million being the midpoint. And based on the guidance we gave for the third, which George will discuss ebb and flow, so to speak, and ramping up, we feel good about kind of being plus or minus $5 million to the midpoint of the full year guidance that we gave you. So everything is on track. George, can you kind of just walk, Tim, through the flow of revenue and what would accelerate it or delay it? 
George Wilson: Yes. Sure. Thanks, Peter. I'll just reiterate what Peter said. We still feel confident in terms of our midrange. But as you know, in our business, some things are a little lumpy. And we do have several projects that we are waiting to get turn on and working with the customers. And those will create some significant revenue flow. And so that will get us. So the Q3 guidance, $157 million to $160 million, but there's no kind of a slowdown whatsoever in terms of the business. 
Timothy McHugh: Okay. Great. And can you help us organically, I guess, I was trying to think about the margins and how much ECS contributed. I think I saw the disclosure on gross margin, but from an EBITDA perspective, what the margin trends are for ECS? 
Peter Dameris: Yes. As you know, we don't give it on a segment basis, but you can assume that they have a high-quality EBITDA margin because you saw what our consolidated reported EBITDA margin is with ECS included. 
Operator: Next, we'll go to the line of Gary Bisbee with Bank of America. 
Gary Bisbee: I guess a couple of questions from me. From a high level, are you hearing anything from your clients about sentiment or just impact from the tariffs and potential trade war situation going on? All the metrics look great, the economic data looks good, but are you hearing any deceleration or concern from clients? 
Peter Dameris: Rand, you want to address that? 
Randolph Blazer: Yes, not yet, Gary. I think it's in process. It certainly isn't slowing their spend on IT systems, I would say, but it's not been a topic we hear much about or anything about. And we haven't seen an interruption in their plans to spend money around IT. 
Gary Bisbee: Okay. And then it looks like perm is doing quite well and yet without the ECS impact on gross margins there wasn't a lot of movement. I guess Oxford improved year-over-year. Is there anything else going on with bill rates or anything else that we should think about impacting margins outside of just purely the perm mix which you disclosed? 
Peter Dameris: No, I mean, look, bill rates went up. It's a tough market to recruit to. It's a tough market for customers to hire to. And so there's a lot of focus and attention to bill pay spread and trying to make sure that's sustainable so that the solution is available for the long-term usage. And we're not exploiting our customers. So our customer base is Fortune 400, Fortune 500. It's not customers that have 30 employees where we're just doing one placement. And we just say we got bargaining power and we're going to raise it just because we got the power to do it. We're thoughtful about a long-term relationship. And it's not easy, Gary, right now to be honest with you just because of how much wages are going up and how quickly and then how quickly you can pass that along. But we have a good relationship with our customers. There's respect on both sides. And that's why we're able to sustain good margins. But trying to expand them just because of the tight labor market, I don't think is good for long-term customer relationships. 
Gary Bisbee: Yes, that makes sense. And then I wanted to ask about one of the incremental ECS disclosures you gave, the mix of revenue by contract type. It's obviously pretty balanced. But I wondered, can you sort of generalize over time, is one or another of these should we think of them as higher margin, lower margin? Is there any sort of predictable pattern or are they pretty similar? I'm talking about the fixed price versus time and materials versus cost-plus. 
Peter Dameris: George, do you mind addressing that? 
George Wilson: Sure, not a problem. Our mix is pretty even between the 3. It will vary as the ups and downs and the types of contracts that we have. You don't determine what type of contract. The government decides that, not us. In general, you can expect higher margins with fixed price and time and materials than you can with cost-plus. There's a little more risk associated with the time and materials, fixed price that's why the government gives you higher margins. So I hope that helps you with your question. 
Operator: [Operator Instructions] And we will go to the line of Mark Marcon with R.W. Baird. 
Mark Marcon: With regards to Apex, a couple of questions there for Rand. Actually, going back to the very first question, can you talk a little bit about the magnitude of some of those, the contracts with DoD in terms of when they do scale up, how much they could end up adding and how you would characterize that? Appreciate any color. 
Randolph Blazer: Peter, I'll go ahead and respond? 
Peter Dameris: Yes, please, please. 
Randolph Blazer: Mark, I think, first of all, the primary players here are Cerner, Leidos, Accenture. We actually support the 3 of them. And then there are certain roles we play, particularly in the education and training. So what you'll find -- and also in the implementation and the data conversions. So when we get into full-scale production and out of the initial operational capability, which is where we're transitioning to now in DoD, we should see our work share go up. We've had a nice flow over the last year or so, but obviously the spend when you're putting it across multiple DoD sites versus 1 or 2 is going to be 5, 10x higher than what we had over the past year. So I think we're looking -- all those players in that contract are looking at an increase in business flow over the next few years as we broaden to all the DoD sites, both U.S. and overseas. VA is lagging all of that. So you got to assume a year or 2 lag as they go through initial operational capability and they learn from what DoD is doing. Did that give you some sense, Mark? 
Mark Marcon: It gives me some. With regards to DoD, when does that go into effect? I mean, when that really scales up? 
Randolph Blazer: Well, they're now passing through what they call a milestone review when you go through an initial operational capability. And once you pass the initial operational capability and get sign-off, which I think is still -- they're in the process of doing that now, then you go into full-scale production. So you begin to roll out the architecture, if you will, to all the sites, so our sites in waves, if you will. So you're going from a few sites to a lot of sites now in the next couple of years. 
Mark Marcon: Great. And then a statement of work, it seems like that continues to grow the percentage of Apex Systems. Can you give a little bit more color with regards to just the rate of growth that you're seeing there and the further adoption among some of your larger clients of it? 
Peter Dameris: Rand, I'd like you to give a qualitative -- Mark, I just want to set the boundaries. At some point, I think we will break out specific numbers. But at this point, as you articulated, it's more qualitative. I do think, Rand, you should compare that growth rate vis-à-vis the staff aug growth rate. But giving a precise number at this point, we haven't gotten to the point where we're prepared to do that on an ongoing basis and print it in our supplemental financial information. But Rand, please give him a size, a relative growth rate compared to the staff aug and how it's positively contributing. 
Randolph Blazer: Yes. Mark, I think during Analyst Day we talked about this. And the consulting work, in general, is growing as a percent of our total business. It's been certainly material. And it is growing at 2 or 3x the growth of our staffing level -- staffing size of the business. So we measure growth in 2 ways, first -- in many ways, but one of the ways you measure it is, how many bookings we get or contracts we're awarded. And then the second is, the actual revenue flow that comes from executing that revenue. So our bookings growth rate is astonishing literally. But we're doing it in a way, as Peter would say, that we can control it, we can manage it, we can avoid risk and we can serve the clients. Mark, I think we also talked about at the Analyst Day that the clients are not looking necessarily to fill a body or fill a position. They're looking to solve problems. And so we're seeing, if you will, work packages. Packages of work that we're able to bid on and respond. And that's generating the growth of the consulting side of the business, if you will. But the client wants more than just a body. They want solutions and/or work packages executed. So it's a good trend. It's what the clients are requiring. And we understood this many, many years ago. And we're right there at the front end, I think, of this wave. 
Mark Marcon: That's great. And then with regards to the bill rates that you're seeing within Apex, it looks like we're seeing good bill rate increases on a percentage basis. I'm wondering if you share the opinion of others that we could end up actually seeing some further acceleration in terms of that expansion, not necessarily in terms of fanning up the gross margins, but just in terms of supply-demand leading to further increases. 
Peter Dameris: Well, look, Mark, I'll just echo my comment. Our customer base and the size of business they're doing with us, we're pretty respectful of the challenge that they have. And what's driving the bill rate is not relative bargaining power, it's what we have to pass along to the temp in order to get them to work at XYZ bank versus ABC bank. Whereas, other people may just artificially raise the bill rate because they can and not pass along the increase in the bill rate to the temp. That's not what we're doing. And I think the increase that you see in our bill rate is a very good indicator of what wage inflation is for tech workers in the United States. 
Mark Marcon: Great. And then can you talk a little bit, you gave us some helpful metrics with regards to the contract backlog on ECS. Just wondering how we should think about those numbers and how that would trend or how that portends for the future. 
Peter Dameris: Yes. So George will describe that, but there's all sorts of numbers, awarded, funded. They all have different data points. But George, why don't you kind of point out what you think is the most relevant and how it seasonally flexes because of the buying season. 
George Wilson: Sure. So contract backlog, we sort of view as a runway of contracts that we have that we believe are going to be funded and we fully expect to recognize all the revenue on those contracts. And right now with a contract of 2.3x our trailing 12-month revenue, you can think of it as, we wouldn't have to submit another proposal and we'd run out for another 2.3 years. And so every quarter about 1/4 of that would burn off. And then particularly in the buying season when we start to win new contracts, that's when you start picking up additional contract vehicles to keep that up into a healthy range of, like I said, about 2.3 is a good range. We don't typically report the book-to-bill. We haven't reported that because that's on a quarterly basis and that can be skewed. One quarter could be very high, another quarter could be low. So we look at the longer term in terms of the contract backlog to look at the health of our overall contract vehicles looking out into the future. Does that help? 
Mark Marcon: It does. I was just wondering how we should think about, would you expect that contract backlog to pick up in terms of year-over-year growth as the second half of this year unfolds or how you would think about that? 
George Wilson: Yes. On the second half of the year is the buying season, we hope that, that would go up a little bit. And again, as we grow, our trailing 12-month increases. So we look at it as a ratio. So we would like to keep it above 2, in the range that we are with the 2.3. So as we continue to grow, continue to award contract vehicles, we keep it in that range. 
Mark Marcon: Great. And then one question for Ed. Interest expense for the coming quarter, how should we think about it? 
Edward Pierce: Well, the interest expense we're estimating $14.4 million. And of that, Mark, I think $1.5 million relates to amortization of deferred loan costs. 
Operator: And there are no further questions in queue at this time. 
Peter Dameris: All right. Well, we appreciate your attention and your questions, and we look forward to reporting our third quarter results. Be well. 
Operator: And ladies and gentlemen, this conference will be available for replay at 4 p.m. and will remain available through August 8, 2018. The dial-in number for the reply is (800) 475-6701, access code 450933. That does conclude our conference for today. Thank you for your participation. You may now disconnect.